Operator: Good day everyone and welcome to the iRobot third quarter 2008 financial results conference call. This call is being recorded. At this time for opening remarks and introductions, I would like to turn the conference over to Elise Caffrey of iRobot Investor Relations; please go ahead.
Elise Caffrey: Thank you and good morning. Before I introduce the iRobot management team, I’d like to note that statements made on today’s call that are not based on historical information are forward-looking statements made pursuant to the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. This conference call may contain expressed or implied forward-looking statements relating to the company’s financial results and operations demand for the company’s products and services and business conditions. These statements are neither promises nor guarantees but are subject to a variety of risks and uncertainties, many of which are beyond our control, which could cause actual results to differ materially from those contemplated in the forward-looking statements. In particular, the risks and uncertainties include those contained in our public filings with the Securities and Exchange Commission. Investors are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date hereof. Please note that a live audio broadcast of this conference call is available on the Investor Relations page of iRobot’s website at www.irobot.com. An archived version of the broadcast will be available on the same web page shortly. In addition, a replay of this conference call will be available through Thursday, October 30 and can be accessed by dialing 719-457-0820, access code 8467473. On today’s call, iRobot CEO Colin Angle will provide a review of the company’s operations and achievements during the third quarter of 2008; and John Leahy, Chief Financial Officer, will review our financial results for the third quarter. Then we’ll open the call for questions. At this point, I will turn the call over to Colin Angle.
Colin Angle: Good morning and thank you for joining us. Given the increasing economic headwinds I am especially excited to report our 17th consecutive quarter of year-over-year revenue growth. When we talked last quarter, we knew there were uncertain times ahead in the consumers sector, but no one predicted a level of turmoil in the markets experienced over the last couple of months. Both of our businesses continue to execute well, delivering consolidated quarterly results that exceeded expectations; revenue of $92 million, pre-tax profit of $6.1 million and earnings per share of $0.15. Continuing emphasis on the fundamentals of our business is yielding tangible results. Increased focus on working capital management has improved our operating efficiency and strengthened our financial position. Redemption of our auction rate securities at par value earlier this month greatly improves our liquidity position. During the quarter, we aggressively managed inventory levels driving an overall reduction in inventory, but historically it has increased in this period. To achieve this reduction, we developed production plans they were relative to expect the demand and move forward selling home robot products through quick moving channels. The sale of these robots put additional pressure on gross margins in the third quarter and well again in Q4, but we are focused on timing, managing, controllable operating expenses. As a result of these actions we are in a stronger financial position. We continue to focus on improved liquidity and working capital management as they are critically important to the company in light of current market environment and economic uncertainties. Our home robot division had a very strong third quarter driven by Roomba 500’s continued penetration of both domestic and international markets. In our government an industrial divisions, we now have captured 100% of government and industrial annual revenue that is contemplated by our full year guidance, as a result of orders received for our PackBot robots from the U.S. military during the quarter. This captured revenue is in the form of shipped products, services rendered, executed contracts to be performed and product backlog expected to ship this year. Based on our strong results to-date, we are increasing our revenue expectations for the full year. We now anticipate that we will deliver revenue of $310 million to $315 million. We have adjusted our expectations for full year pre-tax income to reflect the previously disclosed impact of the Nekton Research, LLC acquisition. Based on an estimated pre-tax loss of approximately $1 million from Nekton, coupled with continuing uncertainty about the retail market, we now expect pre-tax income to be $4 million to $5 million for the full year. Pre-tax income excluding Nekton remains consistent with our prior guidance and we have adjusted the high end of the range to reflect market uncertainty. EPS for the full year is expected to be $0.08 to $0.10 which also reflects a change in our tax rate. Now, let’s look at the results in more detail. iRobot’is 45% year-over-year growth was driven by our home robot division which results more than 56% from last year. In the third quarter we saw strong demand from our retail partners both domestically and abroad. We continue to experience growth in the international revenues in Q3 more than double those of a year ago, comprising approximately 26% of total home robot revenue in the quarter. This year-over-year growth is especially impressive because we started shipping the new Roomba 500 series in the third quarter of 2007. On the domestic front, Roomba unit sell-through in the quarter was up year-over-year more than 30%. Our retailers are pleased with the customer demand for our products in the third quarter despite overall weakness in the retail sector. Now, let’s turn to government and industrial robot. We delivered a record of 319 iRobot PackBots in the third quarter for a total of 645 year-to-date, up 78% over the same period in 2007. We also reached an important production milestone, that of delivering 100 PackBots per month to our armed forces. In the last two calls we discussed our expectation of several large orders for FasTac which would initially drive an increase in backlog and then generate revenue in the second half of the year as we delivered against these orders. To-date we have received orders totaling $67 million for more than 425 FasTac robots plus spare parts under the $286 million IDIQ contract. Product backlog was $37 million at the end of Q3. This level increased from $22 million to the end of Q2. Now reflected in this Q3 backlog data is a $3.7 million order from [Navse] which was received following the quarters end. We also received our first under the new $200 million IDIQ from the U.S. Army’s Program Executive Office for Simulation, Training and Instrumentation, that’s PEO STRI, on behalf of the Robotic Systems Joint Program Office. This contract replaces a previous $64 million IDIQ. The increased ceiling amount under which multiple types of Robot plus spare parts trading and repair services can be ordered over the next five years reflects the military’s expectation of increased use of Robots over that period. Our work on the Future Combat Systems program continued to progress on schedule. The FCS team recently passed a major milestone; the FCS SUGV Preliminary Design Review. This was a two day comprehensive review with representatives from the office of the Secretary of Defense, Army, Boeing and FCIC. Feedback from the customer was very positive. Our SUGV Block 1, a commercial office shelves version of SUGV has been accelerated to be fielded with the first FCS enabled Infantry Brigade Combat Team as publicized by the Army this past summer. The SUGV Block 1 was featured in the summer by the Army’s AEPS in the Preliminary Limited User Test this summer at Fort Bliss. Numerous SUGV Block 1 were also predominately featured three weeks ago at AUSA, the Army’s largest and most important conference. During the quarter we achieved two major milestones in the execution of our G&I platform strategy to produce combat-proven robots with common software controls and interface. Our military vision fixtures Unmanned Systems all working together in what we called the robotized battle space. First, we received a long anticipated $3.8 million research and development contract from TARDEC, the U.S. Army Tank-Automotive Research, Development and Engineering Center, which will result in the delivery of two iRobot Warrior 700 platforms. This funded research will enable us to advance the development of the Warrior platform to the point of production in Q3 2009. Second we acquired Nekton on September 8. Nekton has been instrumental in shaping the underwater marketplace during the past six years, by supporting customers such as the Office of Naval Research, Naval Undersea Warfare Command, the Naval Air Systems Command, and the U.S. Special Operations Command. We’re excited to have the opportunity to acquire a company with such a successful history of innovation and insight in the underwater vehicle space. Nekton’s Unmanned Underwater System ranger is a general development platform for small UUB capabilities, such as multivehicle cooperation for search and survey and the deployment of payloads that deliver by neutralizing charges. Weighing less than 20 pounds, ranger is the current UUV standard for easy launch and recovery. We expect to market the ranger products beginning in the second-half of 2009. Our Seaglider product, licensed from the University of Washington in June, is attracting significant interest in the Oceanographic community. As proliferation of submarine in adversarial hands continues to accelerate, persisting surveillance involving gliders will be an important tool in keeping the worlds oceans opened for commerce. Ranger and Seaglider, position us well to meet the needs of military and commercial customers in this emerging space. With the Navy establishing a new combat and command for a regular warfare, we believe autonomous underwater vehicles such as those we are developing at Maritime Systems will play an important role in our nation’s defense. Rick Vosburgh, former President and CEO of Nekton, was appointed Executive Director of iRobot’s newly established Maritime Systems Group. Looking to the full-year, we expect annual revenues to grow 24% to 27% over 2007 or $310 million to $315 million. In Home Robots, unit sales through the third quarter were up more than 65% and ASPs increased 9%. In our G&I business we have 100% visibility of our revenue prospects for the full year, therefore the top line has tracked ahead of our expectations, but there is uncertainty in Home Robots given the retail environment As John will discuss in a moment, we expect continuing pressure on gross margins in Q4 as we saw in Q3 and consequently we are not changing our pretax profit expectations other than reflecting the impact of the Nekton acquisition and economic environment. Our continued focus on working capital management will put us in a stronger position as we exit 2008. To further support our efforts in this area, we hired a highly skilled Executive with 25-years of worldwide Supply Chain Management at Gillette Corporations and New Balance Corporation as Vice President Operations in our Home Robots Divisions. Before turning the call over to John, I’d like to comment on Helen Greiner’s changing role at iRobot. As you know Helen and I along with Rod Brooks started the company in 1990. Helen, as Chairman of the Board has worked tirelessly to help the company grow as a Robot industry and Science Education Evangelist. She has decided to pursue other interests in opportunities within the robot industry, including her work for the Robotics Technology Consortium, Massachusetts Robotics Cluster and various Boards on which she serves. Helen will remain a non-employee member of the Board of Directors of the company and we look forward to her continuing contributions in that capacity. I appreciate the Boards support as I assume the added role of Chairman of iRobot. I will now turn the call over to John for a review of our financial results.
John Leahy: Thanks Colin and good morning everyone. Our financial performance for the third quarter exceeded expectations at both the top and bottom line. Revenue grew 45% over the third quarter of last year to $92 million driven by home robot division revenue, which was up 56% year-over-year. Revenue for the quarter included approximately $600,000 from our acquisition of Nekton on September 8. Pre-tax profit in the third quarter was $6.1 million compared with a pre-tax loss of $1.4 million a year ago. Earnings per share were $0.15 for the third quarter compared with a $0.06 loss per share last year. Higher revenue in operating expense leverage drove the significant year-over-year favorability. EPS in Q3 included $0.01 loss per share from the Nekton acquisition as anticipated largely due to a write-off of in-process R&D and amortization. A change in our year-to-date tax rate improved EPS by $0.01 in the quarter. In the G&I division, total revenue grew 31% to $39 million. This increase is driven by fulfillment of several large orders for the PackBot with FasTac kits. Contract revenue increased slightly from a year ago and we now have the long expected funding for warrior development which will help boost contract revenue in Q4. G&I product revenue was $34 million in the third quarter compared to $24 million a year ago. We shipped 319 robots during the quarter, 279 of which FasTacs. Product life cycle revenue or PLR was approximately $6 million or 18% of G&I product revenue compared with 11% of product revenue in Q2. At the beginning of the year our customers were focused on ordering robots for the field. In the third quarter we received multiple orders for spares in part due to the end of the government’s fiscal year. For the total company, gross margin to the third quarter was 31.3% of sales down slightly from 31.5% last year. Home robot gross margin increased 2.4 percentage points while G&I gross margin decreased 2.4 points. The improvement in home robot margins was driven by product mix. Revenue Q3, 2008 was primarily from the sale of Roomba 500s while a year ago we were transitioning the product line from Roomba 400s to 500s. The higher Roomba 500 gross margins coupled with product transition costs in the third quarter a year ago drove the gross margin improvement. G&I margins were negatively impacted by lower product life cycle revenue and shipments of lower margin FasTacs versus higher margin MTRS units last year. In the third quarter, we continue to aggressively manage operating expenses which were $23 million or 25% of revenue compared with $22 million or 35% of revenue a year ago. Operating costs this year included the write-off of end process R&D for Nekton. The 10 percentage point improvement, reflects are increasing scalability and our focus on expenses management. On our last call we estimated a full year tax rate of 43.9%. We now expect the full year rate to be 48.8%, largely due to our updated pre-tax income outlook. Because we are in year-to-date loss position we booked a 36.5% rate in Q3 as a true up. The increased full year tax rate negatively impacts EPS by $0.01 for the year. Operating cash flow for the quarter was essentially break-even, comparing favorably with a negative operating cash flow of $19 million a year ago. The significant improvement this year is a result of our focus on inventory management. We expect to see strong operating cash flow in Q4 and to report positive cash flow for the full year. EBITDA for the third quarter excluding stock compensation expense of $1.8 million was $9.6 million compared with $0.5 million a year ago. EBITDA margin was 10.4%. This non-GAAP metric is an important measure of our operating profitability and we will now be reporting EBITDA each quarter. During the quarter we also favorably amended the terms of our $50 million credit facility with Bank of America, which gives us increased borrowing flexibility under the agreement. Days sales outstanding were 48 days up from 36 at the end of the second quarter, but down from 54, last year. You should expect our accounts receivable for the reminder of the year to increase somewhat as our retailers continue stocking for the holiday season. We are seeing intangible results from our focus on improved inventory management. At the end of the quarter inventory was $42.6 million, down from $43.3 million at the end of the second quarter, counter to seasonal trends. Inventory was down $1.1 million or 3% versus Q3 last year. Despite revenue growth of 45% year-over-year inventory returns were approximately six times versus four times last. As Colin mentioned this improvement was driven by a two pond approach of more aggressively managing production builds and a concerted effort to push slower moving skews through our sales channels. We expect a significant decrease in inventory in Q4 as well. The Nekton integration is on track and the business outlook is consistent with our expectations. Q4 revenue is expected to be $600,000 to $800,000, with a pre-tax loss of $500,000 to $600,000 for Nekton or a loss per share of $0.02 due to Nekton. We estimate we will have a pre-tax loss from the full year from Nekton of approximately $1 million. To summarize, the third quarter was stronger than expected in a tough environment, indicating the attractiveness of our products and our business model and we will continue to aggressively manage our operating margins, working capital and cash flow. Now, I would like to turn the call back to Colin.
Colin Angle: Thank you, John. In conclusion we exceeded expectations at both the top and bottom lines and while there is a great deal of uncertainty about the economy for the rest of the year, we expect to deliver full year revenue of $310 million to $315 million, pre-tax income of $4 million to $5 million and EPS of $0.08 to $0.10. We will now open the call to questions.
Operator: (Operator Instructions) Your first question comes from Paul Coster - J.P. Morgan.
Paul Coster - J.P. Morgan : Colin I hate to do this to you, but sort of ’08 saw the history I think for most investors, what about ’09; can you give us any early thought about either of your segments moving into the New Year?
Colin Angle: We are not commenting on ’09 guidance at this point. We are all concerned about the economy and how that will impact us, but as you see we’ve held up pretty well so far this year.
Paul Coster - J.P. Morgan : Do you have pretty good visibility into the G&I business going into ’09 at this point?
Colin Angle: I think that as we look at FCS with administration change and so forth it is difficult to say definitive things about how it’s looking, but the demand for robots is continuing to help transform, our military is still strong and that we just can’t comment exactly on the mix between FasTac and SUGV’s and that the whole transition between our robots going to the infantry at this point.
Paul Coster - J.P. Morgan : Okay John, a couple of quick questions, tax rate for ’09 and you mentioned EBITDA is an important metrics, does that mean you’ll be issuing guidance from an EBITDA basis and are you expecting to be sort of sustainable EBITDA profitable at some point in the near future?
John Leahy:
Paul Coster - J.P. Morgan : Any FX benefit that you can talk of this quarter; any hedging on the go forward basis, given how big that’s becoming now, the international business is becoming part of your revenue and any comments on nickel pricing and hedging there as well; please?
John Leahy: Really nothing meaningful in terms of Forex at this point Paul; although we do have European sales starting to become more meaningful the domestic business still really shadows off shore, so nothing meaningful in terms of Forex hedging. Nickel continues to decline, I think it’s to down something like $10,000 or $12,000 of ton from a peak of $55000. We are in the midst of our negotiations right now for pricing for next year with our contract manufactures. So, nothing to report except clearly the improvement in nickel will benefit us and help in those negotiations.
Paul Coster - J.P. Morgan : And my last question is the Warrior contract R&D revenue that you’ve one, over what kind of timeline should we recognize it and can you remind us how much that was again?
John Leahy: It’s $3.8 million and it’s a multiyear contract. So, we’ll be beginning to see a favorable impact from that contract in Q4 this year and that will extend through next year and perhaps a bit beyond.
Operator: Your next question comes from Alex Hamilton - Jesup & Lamont.
Alex Hamilton - Jesup & Lamont: Two questions; one, I’ve heard and not to take away from anything, I’ve heard vast improvement in terms of progress made in terms liquidity. Can you talk to strategically about, how you guys are viewing margin improvements going forward and then my last question is related to inventory. Obviously, you worked that down; can you talk about the nature of that inventory work down?
Colin Angle: Sure, let me start with the first one and then John will jump in. With respect to margins, the two sides of our business are approaching is profitability improvement in different fashion. On the home robot side we see significant opportunity for product gross margin improvement as we look at what’s goes into the building material, as we become more and more sophisticated in managing our cost and as we come out with new higher value products overtime. There is substantial opportunity on that front. On the Government and Industrial side, we have been developing a tier-1 team to allow us to operate on a very large scale and to a real degree have been adding competencies which has increased our indirect cost on the government side and as the revenue associated with company possessing those competencies continues to build, we can more fully absorb those costs and we again see opportunities for real improvements and operating margin to scale on the government side. So we have mechanisms on both sides that we are aggressively pursuing, but we’re strong that they will have the desired effect. In terms of the inventory question, this is an overall effort to better drive operating cash flow and therefore working capital and this is something we’ve been working very aggressively with over the last several months.
Alex Hamilton - Jesup & Lamont: For the old Roomba 500 to the older skews?
Colin Angle: Well, so what we’ve done specifically in terms of inventory is really a couple of things. One is driving towards leaner and more tightly scheduling of production and therefore not having the sort of inventory build that we’ve experienced before and we started to see the impact of that in Q3 despite the seasonal trend. We expect that we will see a very meaningful impact in Q4 in terms of reduction of inventory and therefore improved operating cash flow. During the quarter as Colin mentioned in his remarks, we also were pushing harder in making sure that we moved older or slower moving skews and so those were older versions of Roomba and older versions of Scooba that we pushed through. I expect that will continue through Q4, but it might not be of the magnitude that we had in Q3.
Alex Hamilton - Jesup & Lamont: And then just lastly, can you provide a little more color on the tax rate and what the increase is?
Colin Angle: Yes, so it’s a bit frustrating for us, as I’m sure it is for all of you to try to keep track of what’s going on with the rate. The adjustment we made again this quarter was an expectation of full-year rate of 48.8%. It’s largely due to the fact that we lowered the pretax outlook, largely because of the impact of Nekton and while at the same time we have permanent difference items which stay intact and stay fully taxable and those are things for us largely at stock compensation expense. So, if the pretax income shrinks, those permanent items served to inflate the rate and so we booked in Q3 a true up to get the year-to-date rate to 48.8% and then we expect in Q4 to be booking $48.8% once again.
Operator: Your next question comes from Jim Ricchiuti - Needham & Company.
Jim Ricchiuti - Needham & Company: I was wondering, if you could give us a sense as to how the retail sell-through tract is; the quarter progressed and maybe thus far in October? I guess what I’m trying to get is a sense as to what extent your retailers have grown more cautious and how much more cautious in recent weeks just given the economic environment?
Colin Angle: Sure, as I said in the call, sell-through and our performance in Q3 was very, very strong, but we certainly have seen some drop-off and weakening in retail sales thus far to the fourth quarter and our guidance reflects our best guess of how that weakening will continue and where it will end up at the end of the quarter, but there is substantial uncertainty depending on who you listen to; predictions run from bad to dire and we’re trying to make sure that we treat our inventory position and treat our expectation as to Q4 performance appropriately. So that is the biggest area of current uncertainty in our business and we’re doing our best to appropriately manage that risk.
Jim Ricchiuti - Needham & Company: Colin, if we look at the international business, to what extent is that caution coming through in that portion of the business which has grown very rapidly the last couple of quarters. You’re seeing the same kind of conservatism?
Colin Angle: Well I think that’s the difference between our domestic and International performance represent the fact that internationally we are very early in the adoption of Roombas and so that our market penetration is so small that despite the worsening economic environment, we still continue to grow sales because we’re moving off such a small base, but it is doubtless, that in a different economic environment we would see even more improvements internationally. So, we’re taking that conservatively and trying to set the modest expectations for what’s going to happen in the fourth quarter than going forward internationally as well.
Jim Ricchiuti - Needham & Company: Any specific countries that has been very strong internationally that you seem to be getting traction a little sooner than expected?
Colin Angle: Well as we have said, as a category International is growing at an exciting clip and it is currently exceeding expectations. This year our progress in Europe has been particularly pleasing as a result of finally getting a distribution of strategy wise and in place long enough to start harvesting the benefit and that was a major investment last year and we’ve been reaping the rewards this year. So that has been wonderfully satisfying to see that play out.
Jim Ricchiuti - Needham & Company: Okay and you may not be prepared to answer this question, but I’m just wondering if how we should think about 2009 from the standpoint of new products in the Home Robot business? Obviously, you’re not going to announce anything, but how would you characterize it in terms of activity and maybe just in timing?
Colin Angle: So we are a robot company and we continually work on new products and in the Home Robot division, you have to frustratingly wait for them to be blessed by us and ready for a real launch, so that is continuing priority for iRobot to find, discover, invent, reduced to practice, manufacture and distribute new products. That strategy is unchanged, but I’ve got nothing to say on that front and I might say that in 2009 we are currently particularly focused on making sure that we are right sized and that our operating expenses are on track to deliver the type of profitability improvements that we have promised.
Jim Ricchiuti - Needham & Company: Okay. John, can you talk at all about OpEx in Q4, just relative to your guidance; any specific guidance that you might be able to provide in terms of R&D, G&A?
John Leahy: Jim, in terms of total OpEx, as I mentioned in the remakes we’ve been focused on running tight. I think the company has done a good job over the last few quarters of leveraging OpEx as revenue that’s grown. So, OpEx was about 25% in Q3 as a percentage of revenue. I would expect, similar sort of leverage and therefore similar sort of OpEx as a percentage of revenue in Q4 as we saw in Q3. I would not want to try to breakout the individual line items, but suffice to say as Colin said, we are managing our class as well as working capital very aggressively and so you should expect to see the results of that in Q4.
Operator: Your next question comes from Barbara Coffey - Kaufman Brothers.
Barbara Coffey - Kaufman Brothers: A couple of questions on international expansion; a lot of that last year or last quarter was sell into the channel; are there indications that the channel partners are re-upping and also credit lines to retailers have gotten tighter and have you ended up seeing different pattern of orderings from those partners and as a cousin to the website traffic, your own site and strengthen that and changes in the buying patterns offered in the website.
Colin Angle: Okay, the first question was about international inventory and I would say that we’ve been now in the European markets strongly since Q3, Q4 of 2007 and so that we’re in a cycle where its not so much expansion of retail outlets and channel still associated with that. We are into the reorders there and certainly some stocking for the holiday season in Europe, but that tends to be less pronounced than in the United States and so the type of the performance that we have been delivering in Q2 and then again in Q3, needs to be viewed as driven by sell through to a very great extent, so that I don’t feel like we are stacking and have any sort of inventory challenge internationally. That said we have, we do have less visibility on that front because we sell products to distributors which then bring them to the ultimate retail partners. So, our data is less strong, but we do have anecdotal evidence through continued orders and what we hear back from our distributors that sell-through is very strong. So that’s the buying pattern of the trade. Your question, it is true that retailers open-to-buy levels have been reduced from what we have seen and so that were it does create a solidly different pattern of ordering where you have more frequent smaller orders and we also saw some orders pulled into Q3 from Q4. So we’re trying to say ahead of that and I think we have manufactured as John has said, a lean set of products so that we don’t intend on allowing ourselves to end the year under inventoried and again we’ve been at this for many years and have very tight relationships with our vendors and they give us our plans and the pattern is difference, but it hasn’t shifted much from perspective of Q4 orders into Q3 beyond what we previously said. Your third question was on direct. Yes Q4 tends to be our strongest quarter from a direct perspective and like all of our other channels we are seeing a slowing of orders on direct and have done our best to model that, predict where that’s going and then reflect the impact through our guidance that we’re providing to you today.
Operator: Your next question comes from Josephine Millward - Stanford Group.
Josephine Millward - Stanford Group: Colin and John, your guidance implies a pretty significant gross margin improvement in the fourth quarter, I think it’s over 35%. Can you address specifically how you planned to get there in both of your division?
Colin Angle: Josephine, I think the implied gross margin although it’s certainly higher than Q3 and our year-to-date run rate, it’s fairly consistent with what we have done in prior year fourth quarters, so Q4 just because of the seasonality our gross margin and our operating margins are the strongest of the year. So, I think your observation is right, it’s pretty consistent with what we’ve experienced in the past and so I don’t think I would add anything more than that because we expect that both divisions will perform like we have seen in Q4 and prior years.
Josephine Millward - Stanford Group: Maybe you can walk us through your assumption in terms of percentage of direct sales for Home Robots in the past that have been real boosters for your gross margins?
Colin Angle: Certainly, the direct does improve gross margin, so does if you look at our historical, our Q4 is our largest quarter and our gross margins improved measurably as to the top-line increase, but through the assumptions done on the direct.
John Leahy: Yes, and last year our direct as a percentage of revenue in HRD was about 18% in the fourth quarter and on a year-to-date basis it’s running at about 18% this year and so we would expect that we would see some more percentage of revenue in direct as we did last year. A caveat though is and we’ve seen some of the same earnings releases that you have for example with Amazon that are indicating expected softness in Q4 and so we tuned in to that like everybody else and we’re somewhat vary of the impact at the economy will have on direct and so we are being cautious with our plans and the investment we’re making on the direct side.
Josephine Millward - Stanford Group: On that note given the weakening economic environment, can you give us more color on what drove such a strong demand for Home Robots in Q3 and whether you expect these trends to continue?
John Leahy: Well, I mean the good news is, this is a new area and the negatives of the economy are offset by the rapid increase in demand and desire for our Home Robot products. So, this is not a matured industry by any such imagination and there is a great condor of people around the world to don’t yet believe that vacuuming robots work and as they learn this, are very desirous of this product. So, it’s not a question of steady state and the economy is the primary diver of demand. What we’re seeing is people continuing to become very, very excited about this emerging new category of product and as they come to believe and see this as being very recently priced, they go ahead and buy the stuffs. Now no doubt that is negatively impacted by the economy, but as we talk to our retailers, often we hear that we’re the good news story in the otherwise very, very challenging category that they are trying to manage.
Josephine Millward - Stanford Group: Colin, you talked about the launch of your new products targeting pet owners and small business how is that going?
Colin Angle: Well the Roomba for pets and the iRobot Roomba pro have been doing very, very strong. In fact they are combined, the largest selling skews on our website. Again that helps with ASPs, that helps and it validates our series that we can put more features into a home vacuuming product and even if it commends a premium price, effectively sell them through our website. So that’s a very, very good news story and it’s going to encourage us to try more things.
Josephine Millward - Stanford Group: Okay. Finally, can you just give us an update on the Oceanglider bid, if you expect to hear any thing soon?
Colin Angle: We submitted the bid two months late as Navse kept delaying things and so originally mid September was the specified date for award, but if you run that two months delay through that original September date you end up in November. We really don’t have any information. We recently asking and we’re told nothing.
Josephine Millward - Stanford Group: On that note do you expect under see vehicle to be a revenue contributor next year?
Colin Angle: We do believe that it will be a revenue contributor of about $6 to $8 million on the top line, so we don’t believe it to be earnings contributor. We saw a small loss in ’08 and ’09 due to the Nekton acquisition and disclosed that previously.
Josephine Millward - Stanford Group:
Colin Angle: Yes, that is ex-Oceanglider revenue. Let’s us not assume of the LBS contract.
Operator: Your final question comes from Jim Ricchiuti - Needham & Company.
Jim Ricchiuti - Needham & Company: A final question, it just has to do with the product life cycle revenue in the G&I business. You guys obviously have some pretty good history now in terms of the robots that you’ve put into the field and I’m wondering if you can give us a sense as to, after what point in time does the regular maintenance require and it really begins to pickup for these robots as they’re in the field?
Colin Angle: I think that what we said in the past that overtime we hope that the product revenue coming into G&I will have about 20% component of this recurring PLR revenue as a overall percentage and we’ve exceeded that some quarters, we’ve been under it some quarters; this quarter on 18% we were very close to it and our installed base continues to grow and we see opportunities through partnering and through our AWARE software and developers confidence of continuing to advance this concept as iRobot platforms as a generic multiuse strategy for the government. So I think that we are in the ballpark, where we can be long-term and we see there our ability to sustain that 20% figure to become easier overtime. So thank you. That concludes our third quarter earnings call. We appreciate your continued support and look forward to talking with you again following our fourth quarter.
Operator: Thank you ladies and gentlemen. Once again, that does conclude today’s conference. We thank you for your participation and you may now disconnect.